Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to Lassonde Industries 2025 First Quarter Earnings Conference Call. Corporation's press release reporting financial results was published yesterday after the market closed. It can be found on its website at lassonde.com along with the MD&A and financial statements. These documents are available on SEDAR+ as well. Presentation supporting this conference call was also posted on the website. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Before turning to management's prerecorded remarks please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that cause actual results to differ materially from those anticipated. Please refer to forward-looking statements section of the MD&A for further information. Also note that all figures expressed on today's call are in Canadian dollars unless otherwise stated and that most amounts have been rounded to ease the presentation. Finally, be advised that the presentation will refer to non-IFRS measures or ratios mostly to ease comparability between periods. Reconciliations to IFRS measures are provided in the appendix to the presentation and in the corporation's MD&A. I would like to remind everyone that this conference call is being recorded on Friday, May 9, 2025. I would now like to turn the conference over to Vince Timpano, Chief Executive Officer.
Vince Timpano : Good morning, ladies and gentlemen. I'm here with Eric Gemme, Chief Financial Officer of Lassonde Industries. Thank you for joining us for this discussion of the financial and operating results for our first quarter ended March 29 2025. Please turn to Slide 4. Lassonde began 2025 on a positive note delivering solid sales and operating profit growth despite ongoing uncertainty. Sales increased 22.8% to CAD 700 million with growth reaching 9.3% without the foreign exchange impact and the recently acquired Summer Garden business. This performance reflects market share gains in both Canadian and U.S. beverage activities driven respectively by effective merchandising and our build-back plan. Meanwhile in Specialty Food we delivered another strong EBITDA margin in the quarter thanks to both our legacy business and Summer Garden. Now let's turn to Slide 5 for a closer look at operations beginning with U.S. Beverage activities. Lassonde sustained its momentum gaining market share in this first quarter as volume increased 10% in a market that contracted slightly. Keys to this gain were the execution of build-back initiatives through increased distribution with new and existing customers which in turn drove better network efficiencies as well as the contribution of our new single-serve line in North Carolina. You may recall that this line encountered certain mechanical issues during the first quarter. These issues have largely been addressed and the line is now producing at a pace aligned with our expectations. We anticipate reaching full production rate by the end of the second quarter. I'm also pleased to report that our strategic investment initiatives remain on schedule and on budget. These include the construction of a new facility in New Jersey and the relocation of certain production assets from a U.S. co-packer to our North Carolina hub where we're investing an additional CAD 20 million. This investment will see us establish our first ever in-house juice box production in the U.S. Turning to Canadian beverage activities on Slide 6. We are witnessing the benefits of the price adjustments that were mostly implemented last year. We have continued to successfully execute on pricing to offset key commodity inflation. As part of our productivity initiatives we have significantly enhanced efficiency by deploying new high-speed juice box lines. These new lines are replacing five older ones allowing us to deliver higher output more efficiently. Lassonde also benefited from effective merchandising new product innovation launched throughout 2024 and a rising consumer sentiment to buy Canadian. This combination contributed to solid market share gains across our branded and private label portfolio despite a market contraction most notably within refrigerated orange juice. With respect to growing demand for Canadian products we launched our new Canadian to the Core campaign. This umbrella campaign shines the spotlight on our Canadian brands including Oasis and its "There's no taste like home" tagline and it continued until a few weeks ago in digital print and outdoor while still present on pack and in-store marketing. Importantly, we also recently commissioned our new bag-in-a-box aseptic packaging line slightly ahead of schedule. Our initiative received positive response, which validates our view of strong potential in this market. As I mentioned last quarter, this new technology offers convenient dispensing, which makes it ideal for a wider range of customers in foodservice such as quick-serve restaurants and convenience stores. Additional bulk aseptic packaging formats are also available and will support sales to industrial customers like food manufacturers. This investment represents a significant step forward and allows us to expand our presence and deliver efficient customizable beverage solutions to the foodservice channel across North America and expand our reach with industrial supply. Let's turn to Specialty Food on slide 7. During the first quarter of 2025, we continue to integrate our North American activities. Overall, we saw positive top and bottom-line growth within our legacy Specialty Food business, while Summer Garden had another solid quarter with sales of $55.5 million and EBITDA of $13.5 million representing a margin of 24%. As for legacy operations, our growth momentum continued in retort products mainly for premium glass jar soups and sauces buoyed by continued category growth in the premium segment and through growth in our key customers via new product launches and expansion of our Canadian business as we continue to balance our portfolio and drive Canadian business by innovation and new customers. We are also continuing our evaluation of targeted investments to accelerate growth by enhancing specialty food production capacity. This includes the ongoing assessment of a potential plant expansion in Ohio to support future growth lower cost, while also supporting our long-standing strategy of producing closer to our customers. Before turning the call over to Eric, let me highlight organization changes that support the continued evolution of our operating model starting with the creation of our new North America Beverage division on slide 8. This division comprises our two US Beverage business units, our flagship beverage business in Canada and our newly consolidated North America Foodservice business unit. To lead this division Amanda Burns was appointed Chief Commercial Officer, North American Beverages. Amanda previously served as President US Private Label where she played a key role in developing and executing Project Eagle our initiative to revitalize US beverage activities. Gabriela Arrillaga was appointed Chief Marketing Officer for North American Beverages. Her mandate includes establishing best practices, capturing synergy and building a growth-oriented portfolio through innovation. In parallel, Gaby remains General Manager of our US National Brands business unit. Turning to slide 9. Elizabeth Hill was named General Manager, Private Label Beverages USA. Having joined Lassonde 22 years ago she has extensive experience in sales and marketing, building dynamic teams and stimulating growth through a focus and commitment to helping customers achieve their objectives. In Canada, Martin Lauziere was named General Manager Beverages, Canada. Since joining Lassonde in 2008, Martin has held various senior management positions including the last two years as Senior Vice President of Financial Planning and Analysis where he played a key role by directing and overseeing all commercial-related finance activities across each division. I now turn the call over to Eric for a review of quarter one results. Eric?
Eric Gemme: Well, thank you, Vince. Good morning, everyone. Let's turn to slide 10 for our first quarter sales, which amounted to $700 million up 22.8% versus last year. Excluding Summer Garden and a favorable foreign exchange impact, sales increased 9.3% reflecting a higher sales volume in the US and mostly the ongoing effect of pricing adjustments in Canada. Moving to slide 11. Gross profit reached $183 million or 26.2% of sales up from $150 million a year ago also representing 26.2% of sales. Excluding Summer Garden gross profit dollars increased 7.1%. And as anticipated the gross profit margin contracted to 24.9% due to higher cost of certain inputs mainly oranges and to a lesser extent pineapples and apples; and accelerated depreciation expenses of certain US assets. These factors were partially offset by lower PET resin costs and a more favorable sales mix in the US. SG&A expenses were $140 million up from $115 million last year. Excluding SG&A expenses coming from Summer Garden they have increased by $9 million up 8%. This is reflecting the currency conversion effect of expenses from our US legacy entities, higher outbound transportation costs mainly in the US in part due to higher volume; and higher finished goods warehousing costs. Excluding items that impact comparability adjusted EBITDA increased 36% to $71 million or 10.2% of sales from $52 million or 9.2% of sales last year. Adjusted profit attributable to the corporation shareholders was $27 million or $4 per share compared to $25 million or $3.68 per share last year. Turning to cash flow on Slide 12. Operating activities required CAD 60 million in Q1 2025 versus generating CAD 11 million last year. This variation mainly reflects more important working capital requirement this year versus last, essentially due to higher raw material inventories from advanced purchases of apple concentrate to secure prices and supply; higher finished goods inventory, mainly for our Canadian beverage unit in anticipation of greater demand and also reflecting the timing effect of certain shipments for our Canadian food unit; an unfavorable change of CAD 16 million in settlement of derivative instruments associated with FCOJ this year versus last; the payment in the quarter of CAD 35 million of payable at December 31 that were associated with capital expenditures projects, these were only CAD eight million at the end of the quarter resulting by itself in a net outflow of CAD 26.4 million in the quarter; and then a slightly higher DSO essentially due to timing. All of these elements were partly offset by higher EBITDA. The days of operating working capital ratio stood at 55 days, which is above the historical range due to higher days of inventory outstanding at 92 days and to a lesser extent higher DSO at 23 days. We expect the ratio to revert to its historical range by the end of 2025, as the inventory situation normalizes. Capital expenditure totaled CAD 79 million in Q1 of 2025 including USD 34 million or CAD 48 million related to the construction of the New Jersey facility. This project remains on track and on budget representing CapEx of approximately USD 100 million in 2025. As a result, we expect CapEx to reach up to 9% of sales in 2025. Turning to our balance sheet on Slide 13. Lassonde net debt totaled CAD 587 million at the end of the first quarter versus CAD 449 million three months earlier. The increase is attributable to a draw on both revolving Canadian and US revolving operating credit to finance inventory and CapEx. As anticipated, the net debt to adjusted EBITDA ratio increased reaching 2.0:1 at the end of the first quarter of 2025, notably reflecting the US CapEx program and an elevated level of working capital. All things being equal, we anticipate the leverage ratio to range between two and 2.5:1 until the end of 2026 remaining well within our comfort zone of less than 3.25:1. Ladies and gentlemen, I turn the call back to Vince for the outlook.
Vince Timpano: Thank you, Eric. Please turn to Slide 14. We are pleased with our first quarter performance and remain cautiously optimistic for 2025. However, it is important to acknowledge the significant economic and geopolitical uncertainties that persist. These uncertainties require us to remain vigilant and adaptable as we navigate the months ahead. As always, our focus is on executing our strategic priorities. For US beverage activities, these include continuing our private label volume build back plan, ramping up the North Carolina single-serve line and executing our initiatives to improve capacity and lower cost. For Canadian beverage activities, our main priority is to fortify our leadership to be achieved through innovation, to reduce commodity exposure and ensure active participation in on-trend and growing beverage segments. Channel expansion through our foodservice bag-in-a-box initiative targeted marketing investments including our ongoing Canadian to the core campaign; and through ongoing efforts to improve productivity. In Specialty Food, we will continue the integration of our North America network, address opportunities to build brand distribution, including with the recent launch of Yellowstone in the U.S. As well, we will continue our assessment of a potential expansion of the Ohio facility, which would enable Lassonde to grow capacity, capture growth and lower cost. Moving to Slide 15 for our sales outlook. Given our first quarter results, we continue to anticipate a sales increase of approximately 10%, excluding currency fluctuations reflecting, a full year contribution from Summer Garden, the run rate effect of existing and planned selling price adjustments, sequential sales volume improvement related to the pace of our US build-back plan and additional volume available from our new single-serve line. We are closely monitoring changes in consumer food habits and the demand elasticity for our products amid ongoing inflation and tariff impact in key commodity costs. Additionally, we are observing market participants' reactions to these factors and have recently noted an increase in promotional activities primarily in the US market. Turning to Slide 16. We will remain vigilant in monitoring cost fluctuations for certain commodities such as orange and apple concentrates and other inputs affected by tariffs which we expect to remain volatile through 2025. The cost of orange concentrate has been extremely volatile over the past few weeks. At the beginning of the year, the price was around CAD5 per pound solid. However, in February, we saw a sharp and sudden decline. Since then prices have fluctuated between a low of CAD2.10 and a high of CAD3.15. Currently they are hovering in the range of CAD2.30 to CAD2.70. Later today we expect to receive the forecast from Fundecitrus, which should provide some visibility on the upcoming crop and hopefully lead to less volatility. This being said, if prices remain at these levels, we should benefit from lower costs at the end of our hedging horizon. As for apple juice concentrate, higher costs in the first quarter affected our margins but we proceeded with price adjustments late in the period and we now have a better visibility on our 2025 cost, although any changes in tariffs may impact this outlook. The sudden and significant fluctuations in the price and availability of key ingredients along with evolving consumer beverage needs highlight the importance of innovation to reduce our commodity exposure and you can expect us to remain active on that front. As for the trade environment, uncertainty remains regarding current and potential tariffs and their associated impacts. We have prepared mitigation measures to maintain a strong competitive position and an optimal cost structure, but the timing, duration and evolution of tariffs may affect these measures. In closing on slide 17, we expect our momentum to continue throughout 2025. Driven by an extensive and diversified product portfolio, Lassonde is well-positioned to grow its reach in the North American food and beverage market. This concludes our prepared remarks. We are now pleased to answer your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from MartinLandry with Stifel. Please go ahead.
Martin Landry: Good morning, Vince and Eric.
Vince Timpano: Good morning, Martin.
Martin Landry: I would like to touch on Summer Garden. The company or the division generated a very strong EBITDA margin of 24%. Looking back when you acquired Summer Garden, I think the last 12 months before, the acquisition closed the EBITDA margins were around 19% on an annual basis, obviously, and I'm looking at the quarter Q1. So I'm wondering, is there a favorable seasonal impact in Q1 that could have helped the EBITDA margin of Summer Garden?
Eric Gemme: So Martin, let's unbundle that in three components. So as I said previously, the 19% that we've disclosed was based on 12 months, May 2024 run rate. And we were cautious when we provided that information. So we were very tight on our calculation so not to get anybody excited. So then on top of that, we have more volume hitting our plant. So that helped us as well absorb fixed costs, giving us a bit of a boost there. You do have the seasonality effect first quarter. And if you look at Summer Garden it's a sauce business. It's a barbecue sauce as well but sauce, which are more consumed in the winter. And then the last element that should not be forgotten is as we said a few times and we even said today, we are still working on our future for our food business. And we said that we would take some of the synergies generated by the Summer Garden transaction to reinvest. However, at this moment since we are not formally defined where we will need to invest, so those investments are not there. So we see a bit of a leak of the synergy that have started to materialize hitting the P&L.
Martin Landry: Super. That's helpful. Maybe switching gears to look at the margins. I believe in Q4, Eric, you had mentioned or you had discussed the potential margin contraction that you were expecting in Q1 because of a surge in apple concentrate costs, but margin held up versus last year. So I'd like to better understand what was the offset that enabled your gross margins to come in better than expected in Q1?
Eric Gemme: Absolutely, Martin. So if you look at the Q1 2025 margin, 26.2% that includes Summer Garden. If you were and you were able to do that with the MD&A back out the Summer Garden contribution, you would see that the margin would have been 24.9% excluding Summer Garden, compared to 26.2% same period last year without Summer Garden. So that's hence the contraction in the margin.
Martin Landry: Okay. And so then bringing this maybe a little bit to look at Q2 and on a go-forward basis, what should we expect for your margins? I mean you have mentioned that there's a lot of fluctuation in your price concentrate while Summer Garden seems to be performing a little bit above expectations. So if we look at the consolidated basis Eric for Q2, where do you expect margin to land?
Eric Gemme: Martin, I'm not giving guidance as you know, but thank you for asking still. Listen, we said that first quarter, we were expecting a little bit of a pinch on margin because of the lag between increased cost and pricing. And we are saying that now that we've addressed the pricing issue and we have good visibility on cost. So Martin, again, I'm not giving guidance but if you incorporate all of that, I'll let you make your conclusion. But I think these are the key elements that you need to consider as you project our margin.
Martin Landry: Sorry Eric, can you repeat that, because I'm not sure if I understood correctly.
Eric Gemme: So what I'm saying is the first quarter experienced a contraction in margin because of a higher cost mainly in the US of our apple concentrate and costs that were offset by price increases towards the end of the quarter. So basically you see that's the squeeze in the margin. Now going forward, we have a good visibility on our cost for the back end of the year, and now the price has been adjusted. So if you take that into consideration, what caused the squeeze in the first quarter should have been -- should be neutralized all things being equal.
Martin Landry: I see. Yes, a better alignment of pricing versus cost for the rest of the year. Is that fair?
Eric Gemme: Exactly all things being equal, because, of course, we don't know what tariffs will do, we don't know what volume could do. But that's all things being equal, that's how you should read this. And that's how you should think about it as you project our margin for the back end of the year.
Martin Landry: Perfect. Okay. Thank you, guys, and best of luck.
Eric Gemme: Martin thanks.
Operator: And the next question comes from Luke Hannan with Canaccord Genuity. Please go ahead.
Luke Hannan: Thanks. Good morning, everyone. I wanted to start on the topic of the higher promotional activity that you've noticed particularly in the US market. Can you clarify is this something that's broad-based across several product lines? Is it specific to maybe a few product lines or verticals? And is this broad-based also amongst your competitors? Or are you noticing that's just a heavier promotional activity from select few competitors? Thanks.
Vince Timpano: So Luke, it's Vince. Let me answer that. So it is very recent that we've noted the promotional sort of uptick as we noted. So obviously, we're going to spend a little bit more time trying to understand sort of the drivers of that. One of the things that we do have to take into consideration is Easter. And so Easter moved from the March time frame to the April time frame. So it would be natural that you should see some uptick from a promotional perspective. And to your question in terms of where we're seeing it, it's in total category more specifically think about it in the context of shelf stable and across our select competitor base in brands is what we would see. So again, it's early information. We're going to spend a little bit more time reviewing it. And there is an element we believe of the timing of Easter and the shift in promotion from one month to another. But we'll continue to monitor it, sorry.
Eric Gemme: So, it's really the last four weeks of data that we got recently in terms of April, that's telling us that we have an uptick in promotion. So it's very recent.
Luke Hannan: Got it.
Eric Gemme: It’s permanent we'll have to figure it out.
Luke Hannan: Okay. Thanks for that. Now, I also wanted to follow-up. You talked about some of the new capabilities that you have in the bag-in-a-box vertical as well. Can you help us frame up -- I mean just what is the size of that addressable market for you? And similarly, I mean what's the competitive environment there? I mean I can't imagine you guys look to get into that unless you felt like you could take up a meaningful share of the market but if you could just expand on that please.
Vince Timpano: Yes. Look Luke I'm not going to get into the specifics in terms of sort of the market opportunity that we see. We just see however, an opportunity to move into a niche segment which includes two elements. One is when you take a look at the dispensing element. So bag-in-box provides you to have dispensing and if you were to compare dispensing to something in other categories, it's like fountain. So it's a product proposition that can be served behind the counter that we can deliver through a bag-in-box formula that we think we can do it quite effectively leveraging our quality and R&D and product capabilities and start to provide a broader set of beverage solutions more efficiently for our customers as they serve their consumer segment. So I'm just telling you a little bit in terms of the opportunity. When you think about dispense what does it have an opportunity to serve? Quick-serve restaurants, is just one example. And you can understand that the quick-serve restaurant segment is really quite a large segment. And so that's why we believe there's an opportunity for us to capture in a very targeted way, a fairly large segment within the industry. Recall a couple of things. One is when you take a look at retail versus foodservice represents roughly about half of consumer spend roughly I would say. I want to go back and just sort of validate that number. But when you take a look at our business, it's always been about a 10-90 split between foodservice to retail. Of course, when you think about our diversification strategy, we think there's an opportunity to increase that 10%. This is one avenue that allows us to do that. The second thing is more niche, but it's to serve the industrial market. Those players, manufacturers, and caterers that use juice-based products, as an ingredient we have the ability to now serve those in all formats through the capability that, we built as an organization. So we just think there's an opportunity. As we continue to evolve, our development within it Luke we will start to give you some more context around just size of opportunity but it's still early days. But what I would say as well is that the early response has been positive.
Eric Gemme: And on the last part, Vince, right, on the industrial piece it helps us leverage our strategic ability to procure ingredient at a good cost. So we're able to then serve people that may not have that scale with pricing and volume that fit their needs.
Luke Hannan: Helpful. Thanks. The last question I have here and I guess it's sort of a two-part question but just on Summer Garden and perhaps Specialty Foods as a whole. So the integration of Summer Garden appears to be going well here. I noticed in your financial statements you mentioned that there was a US$5million contingent consideration payout related to labor. If you could just expand on that. But then secondly, also can you just frame up for us I mean how big is Specialty Foods overall for you now either in revenue or EBITDA terms? And is it worthwhile for you guys to explore perhaps segmenting that out that information out on a more regular basis going forward?
Eric Gemme: So let's start with the contingent consideration that was paid in April. It's a US$5 million out of the US$45 million total potential consideration. This one is associated with certain assumption we had on labor costs that were different than the seller and the seller proved to be right on those assumptions. So we are happy to pay that contingent consideration, because as you may remember from what we said, last year when we explained the deal pretty much every dollar of contingent consideration that we pay we should have a smile because they should help us get even better outcome from this organization. So that's what happened. Now, the second part we called that our Specialty Food business was about what 17% of our revenue on a pro forma basis last year. So still along those lines in terms of importance of our organization. And of course, now you can see because we have to at this close the effect of an acquisition. So you see the margin that we get out of at least Summer Garden. So you can infer that it's -- of course, that portfolio of product or that division is more profitable than the entire -- the other division. That being said, we believe that at the end of the day we put liquid in a container whether it's juice high acidity or sauce high or low acidity. So we don't see ourselves splitting this in the near future into segments. If it gets bigger one day then maybe, but I don't see that in the foreseeable future.
Luke Hannan: Okay. Appreciate it. Thank you very much.
Eric Gemme: Thank you.
Vince Timpano: Thanks, Luke.
Operator: [Operator Instructions] Our next question comes from Vishal Shreedhar with National Bank Financial.
Gabriel Chiu: It's Gabriel on for Vishal. I just want to start. As you begin lapping those higher volumes in the US that you gained from your build-back strategy like how should we think about the cadence of volume growth going forward? And then will there be for example a slowing volume in Q2 and then a reacceleration as your North Carolina facility hits full run rate? How should we think about the cadence for the balance of the year?
Eric Gemme: So the volume associated with build-back it's mainly in the US. We saw a good pace in the first quarter on the back of new customers and new opportunity with customers. And to some extent, we had some challenge during the quarter this additional capacity coming from the single-serve line. Now, that knock on wood everything seems to be working according to plan with that line, we should now get the full benefit of this additional volume that was not there last year. So we should then get a volume effect from that line in the second quarter and the third quarter as well, because it really started to ramp up in the third quarter last year. So you'll have a volume effect there. Now in terms of the rest of the build-back plan, now we will probably start seeing lapping versus last year by midyear, because we really started to see this build-back on existing capability capacity midyear last year. I'm not sure, if it helps you, but I'm not going to give guidance. But go back to my okay let's go back to the guidance I gave in terms of how we are going to achieve the 10% growth in 2025 right they're about $260 million on the basis of a 10% growth versus 2024. I said about half of that will be from Summer Garden the run rate effect. And I said the other half will be from price and volume. Now -- and I said roughly equally. Now if you look at what we've done in the first quarter exactly what happened 51% from Summer Garden and then about 25% from price and volume. And then if you apply that again for the back of the year, you'd see that this 50%-25% or 50% and 50% still applies. And on the 50% price and volume I would still consider a balance between the two, because there's still some price effect that will in theory should have a run rate effect. And then as I said there's going to be volume uplift as well.
Gabriel Chiu: Okay. Got it. That did help. And then maybe turning to the org change that you had highlighted in your presentation. I'm just wondering is this change meant to signal more cross-border focus or opportunities? Like how should we think about this?
Vince Timpano : It doesn't do that Gabriel. What I would say though is it does allow us to actually look at the business beverages across North America and leverage the capabilities across North America where it makes sense. So when you think about synergy opportunity in terms of how we think about building a portfolio strategy, how we think about innovation, how we think about leveraging R&D, there's ways for us to do things more efficiently as an organization, and frankly have more impact as we think a little bit about how we organize. So that is what I would say, the primary focus was as an organization. And the other thing that I would say is, we will not remove the focus in the local market. There's a reason why we call out the creation of the four business units specifically. So the two in the United States branded private label in Canada, which is our flagship market and the creation of a North America Foodservice business unit. Their focus is to be very commercially oriented and to leverage manufacturing and supply chain that we've executed across North America as a center of excellence, so that they can have reliable service at a good cost. That's what's really important here. But for us to be able to sort of put it all together as a beverage division across North America, we do believe gives us the advantages of a more joined up synergistic organization.
Gabriel Chiu: Okay. Got it. And then maybe just one more question on the Canadian Food Services side. Just wondering and you may have sort of touched on this, but sort of how should we think about the benefits of that going forward and then your plans to grow that foodservice business within Canada?
Vince Timpano : Sorry, can you repeat the question?
Gabriel Chiu: Yes. I was just referring to -- in your disclosures you're discussing the -- another key objective.
Vince Timpano : So for me let me anchor it back into sort of the broader strategy, which is for us to grow through channel expansion. And there's two elements of that. We'll talk about foodservice but let's also not lose sight of our focus on the single-serve market as well. Like we've invested material amounts of dollars in North Carolina to frankly further mirror the capability that we built in Canada on single-serve with aseptic technology. And that also allows us an opportunity to serve on-the-go occasions more effectively both in Canada and the United States. Foodservice is another part of that. And we've built a very strong proposition in Canada. We see ourselves as the leading provider of juice and juice drink solutions within the foodservice channel. We see this opportunity as I mentioned to Luke earlier in terms of bag-in-box capability and as far as just giving us another avenue for us to grow in the foodservice channel, because we're already fairly extensive in the market that we serve in Canada. As I said, this now gives us two other platforms for growth which is dispensing behind the counter or consumers plus bulk to serve industrial. And we'll continue to look at that opportunity within the U.S. in the future as well.
Gabriel Chiu: Appreciate it. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Vince Timpano for any closing remarks.
Vince Timpano : Well, thank you for joining us this morning. We invite you to attend our Virtual Annual Meeting of Shareholders to be held next Friday, May 16 at 2:00 p.m. The webcast link is available in our management proxy circular on SEDAR+. We also look forward to speaking with you again at our next quarterly call. Have a great day and a great weekend everybody. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.